Operator: Good morning, and welcome to the Cousins Properties Third Quarter 2023 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note that this event is being recorded today. I would now like to turn the conference over to Pamela Roper, General Counsel. Please go ahead.
Pamela Roper: Thank you. Good morning, and welcome to Cousins Properties' Third Quarter Earnings Conference Call. With me today are Colin Connolly, our President and Chief Executive Officer; Richard Hickson, our Executive Vice President of Operations; and Gregg Adzema, our Chief Financial Officer. The press release and supplemental package were distributed yesterday afternoon as well as furnished on Form 8-K. In the supplemental package, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. If you did not receive a copy, these documents are available through the quarterly disclosures and supplemental SEC information links on the Investor Relations page of our website, Cousins.com. Please be aware that certain matters discussed today may constitute forward-looking statements within the meaning of Federal Securities laws, and actual results may differ materially from these statements due to a variety of risks and uncertainties and other factors, including the risk factors set forth in our annual report on Form 10-K and our other SEC filings. The company does not undertake any duty to update any forward-looking statements, whether as a result of new information, future events, or otherwise. The full declaration regarding forward-looking statements is available in the supplemental package posted yesterday and a detailed discussion of some potential risk is contained in our filings with the SEC. With that, I'll turn the call over to Colin Conolly.
Colin Connolly: Thank you, Pam and good morning everyone. We had a strong third quarter at Cousins. On the earnings front, the team delivered $0.65 per share in FFO and same-property net operating income increased 4.6% on a cash basis. We leased 548,000 square feet during the quarter with a 9.8% cash rent roll-up. New and expansion leases totaled 189,000 square feet. In addition, we executed key renewals in Atlanta and Tampa. These are terrific results in any market. I will start with a few observations on the macro environment. To tame inflation, the Federal Reserve has rapidly raised interest rates more than 500 basis points over the past 18 months. The impact of higher rates have been slow to materialize, but they are now upon us. The economy is slowing and financial conditions have tightened. Real estate debt and equity are less available and significantly more expensive. As a result, a meaningful bid/ask spread has emerged and the investment sales market has temporarily frozen leading to few relevant data points for asset pricing. None of this should be a surprise. This is all typical behavior in a rate tightening cycle. The macro narrative for the office sector is likely to get worse before it gets better. Media will focus on rising vacancy rates and accelerating loan defaults. This reporting will not be wrong. However, it will be a significant over generalization. As I said last quarter, where and what you invest in matters. Over the last 12 years, Cousins has intentionally focused on investments in premier lifestyle office and mixed-use properties, located in vibrant and well-amenitized Sunbelt neighborhoods. This is an entirely different strategy than commodity office in older downtowns in nondescript suburban locations. Despite the challenging macro environment, we are seeing some positive trends in our portfolio. I'll highlight a few. First, the return to work is gaining momentum. CEO sentiment around remote work has shifted. Company announcements mandating three, four, and in some cases, five days a week of in-person work are accelerating and finally require compliance. In-person activity has increased within our portfolio, and we are seeing patterns begin to normalize in many properties. As it turns out, lifestyle office properties are full of professionals who's, lifestyle is set around working in the office, at least most of the time. Collaboration, mentoring and serendipity are key to advancing their careers. Come visit one of our properties and you'll see a very different story, than the next headline with Castle data, which as an aside, is proving to not be representative of Trophy properties. Second, the flight to quality is becoming more pronounced. Newer vintage product is commanding most of the demand. Over the last 12 months, according to JLL, Office properties built since 2010 have accounted for 114 million square feet of positive net absorption. Properties built before 2010, account for 346 million square feet of negative net absorption. This statistic clearly captures the story. Third, the flight to capital is increasingly more important. Historically, landlords evaluated the credit of prospective customers. Today, it goes both ways. Prospective customers and their brokers are now evaluating the credit of their landlords. Sponsorship is more important than ever. Not surprising, owners like Cousins with sound capital structures are growing market share. Fourth, there is little to no capital availability for older vintage lower-quality office properties or for speculative new development. So what are the implications for the office sector? There's a bifurcation in the market. It is not a one-size-fits-all answer. Many traditional offices are emptying and will stagnate until they are repurposed or torn down. At the same time, lifestyle office is filling up and will thrive over the long-term. As I have mentioned previously, the office is not debt, Obsolete offices is debt. Said another way, the office market is not oversupplied. Commodity office is under demolished. The market and the media continue to under appreciate this. There is opportunity for investors who do. What does this mean for Cousins? Early green shoots are taking shape for our Sun Belt Trophy portfolio. Our customers are returning in greater force, accelerated obsolescence is reducing competition, the development pipeline is shrinking and demand remains firmly focused on the best lifestyle properties in the best submarkets. While it will take time, the market has begun the rebalancing process. Longer term, the office sector is likely to reshape. Financial constraints are already creating pressure on many real estate platforms. Thus, market players are likely to change. In addition, we believe that investors and the media will increasingly differentiate lifestyle office from commodity office. The fundamentals are just too different to be aggregated together. And if capital remains constrained, private market pricing will need to converge with public market valuations to find liquidity. Similar public, private pricing resets have occurred in past cycles, such a scenario, would create a unique opportunity for a well-capitalized public REIT, like Cousins. In closing, we are realistic about the potential negative impacts of higher interest rates on the economy and our earnings. However, we built Cousins to thrive during all phases of the economic cycle. And today, we are in an advantageous position relative to many of our other office peers. We are in the right Sun Belt markets. We own a trophy lifestyle portfolio with modest near-term lease expirations. We have a fortress balance sheet with minimal near-term debt maturities, and we have a well-covered dividend. I believe that we have unique optionality at Cousins and we'll see compelling opportunities across our Sun Belt footprint. However, the downward repricing of assets in the private market is still playing out. Thus, we remain patient, disciplined and continue to prioritize driving cash flow and maintaining a strong balance sheet. We are watching closely, though, and we will be ready. Before turning the call over to Richard, I want to thank our entire team at Cousins, who provides excellent service to our customers. Their dedication, resilience and hard work continue to propel us forward. Thank you. Richard?
Richard Hickson: Thanks, Colin. Good morning, everyone. I'm pleased to report our operational results this quarter are solid across the board. We also continue to be encouraged by the growing number of companies, asking employees to return to the office for the majority of the work week. We believe this trend will continue, as companies increasingly focus on collaboration, employee productivity and overall efficiency. Before reviewing results, I want to talk about WeWork and SVB Financial Group. As you have probably heard, WeWork has stated that it is pursuing lease restructures with all of its landlords, including Cousins. We have four locations with WeWork, totaling 169,000 square feet and representing 1.1% of our annualized rent at share. As of today, WeWork is one month past due on its rental payments to us at two Atlanta locations, 725 Ponce and 120 West Trinity. As a reminder, we are a 20% owner of 120 West Trinity. While it is no guarantee of the eventual outcome, WeWork is current on rent payments at the other two locations. Based on the late status of rental payments at the two locations, we anticipate those two leases will be rejected in the event of a WeWork bankruptcy. The 725 Ponce lease is 46,000 square feet and the 120 West Trinity lease is 33,000 square feet, of which our share is 6,600 square feet. Fortunately, we have meaningful letters of credit in place for both leases. We are confident that the high quality of those two underlying office properties would present us with a range of future alternatives for these patents. 725 Ponce is one of the most dynamic new office buildings in Atlanta is located directly on the Beltline in East Midtown and is currently 100% leased. Given that, we expect to have an opportunity to either backfill with traditional office users, lease the spaces to a different flexible office operator or even continue working with WeWork in an alternative structure. Regarding SVB Financial Group, our former 205,000 square foot customer at Hayden Ferry I in Phoenix. Consistent with our prior guidance, SVB paid rent through September 30 and vacated the property. Hayden Ferry I has since been taken out of operation as part of a broader redevelopment of the entire Hayden Ferry project. As I have stated before, we believe this redevelopment will redefine the standard of quality in the Tempe submarket and are excited about the opportunity to backfill Hayden Ferry I, especially given SVB's average expiring rent was below market. It's early, but a number of interesting prospects of various sizes have already toured the space. We anticipate the construction component of this overall redevelopment project will wrap up by the end of 2024. Now for our operating results. Our total office portfolio weighted average occupancy and end-of-period lease percentage both increased 0.3% this quarter to 88% and 91.1%, respectively. These represent our highest occupancy and lease percentage levels since the end of 2021. Despite national office leasing volume declining amid continued economic uncertainty, our team was able to deliver our highest quarterly leasing volume of 2023. In the third quarter, we completed 32 office leasings, totaling 548,000 square feet with a weighted average lease term of 8.6 years. 20 of those were new and expansion leases and leases over 10,000 square feet represented over 80% of our total activity. Our higher volume this quarter included two important sizable long-term renewals. One for 121,000 square feet at 3348 Peachtree in Atlanta and another for 112,000 square feet at Corporate Center in Tampa. The latter was a somewhat early renewal with that customer previously due to expire in early 2025. With this quarter's leasing activity, we now only have 15.1% of our annual contractual rent expiring through the end of 2025, including only 5.6% in 2024. Further, no more than 10% of our annual contractual rent expires in any given calendar year through 2030. We're pleased with our lease expiration profile and the stability it should provide our operating portfolio in the near term. Average net rent this quarter came in at $33.94 and which was sequentially lower, but substantially in line with the full year 2022. However, average leasing concessions, defined as the sum of free rent and tenant improvements were also lower at $7.57, about 9% below our last four quarter run rate. As a result, average net effective rent remained strong at $23.77, only about 2% below our last four quarter run rate. Lastly, second-generation net rent growth improved this quarter, coming in at a strong 9.8% on a cash basis. We also saw cash net rent grow in every market this quarter. Again, these results are solid across the board. Now for a quick update on our leasing pipeline. Our late-stage leasing pipeline consisting of leases currently in negotiation sits in line with last quarter at approximately 615,000 square feet. As a reminder, our late-stage pipeline remains almost double what it was at the beginning of 2023. We also continue to be pleased with our medium and early-stage pipelines, with overall tour activity up again relative to the prior quarter. As we look across the Sun Belt, we see firsthand in our portfolio at the highest quality office buildings that provide occupants with a better lifestyle while it work continued to outperform. This is very evident in Atlanta. As JLL has noted, in Atlanta assets built since 2010 have absorbed 5.1 million square feet of space over the last three years while assets built prior to 2010 saw over 12.2 million square feet of negative absorption. In our Atlanta portfolio this quarter, we signed 257,000 square feet of leases with over 80% of the activity in Midtown and Buckhead, Further, 49% of our leases signed in Atlanta this quarter were new and expansion leases. Our recently redeveloped Promenade campus in Midtown continues to see strong activity with over 219,000 square feet of leases signed there year-to-date. I'm also excited to report that this quarter, we signed a 25,000 square foot expansion with Snowflake at Terminus 200 in Buckhead and that we are also in lease negotiations for 57,000 square feet of new occupancy at 3350 Peachtree in Buckhead. The latter is a nice validation for another one of our recently redeveloped properties. In Nashville, we remain encouraged by the office and retail interest in our new half mixed-use development. While no new leases were signed this quarter, we have almost 50,000 square feet of leases in negotiation, of which 49,000 square feet is office. In addition, we continue to have a robust prospect list with over 140,000 square feet of active proposals currently outstanding. The momentum at this project continues with exciting retail announcements on the horizon and the apartments set to open early next summer. Finally, I want to reiterate that our Austin portfolio is very well-positioned to weather the near-term supply challenges coming into view in that market. At the end of the third quarter, our Austin portfolio was 94.6% leased with relatively little availability to lease and no material near-term expirations and enjoying 5.9 years of weighted average lease term. Our Austin team signed 45,000 square feet of leases this quarter, rolling up cash net rents 24.9%. Before handing it off to Greg, I want to thank our best-in-class operations team for the great work they do every day. Each of you play a truly critical role in our continued success. Greg?
Gregg Adzema: Thanks, Richard. Good morning, everyone. I'll begin my remarks by providing a brief overview of our results, as well as some details on our same-property performance. Then I'll move on to our development pipeline, followed by a quick discussion of our balance sheet, before closing my remarks with an update to our earnings outlook for the balance of 2023. As Colin stated upfront, our third quarter earnings were solid, and the operating economics behind them remain very strong. Second generation cash, cash leasing spreads were positive for the 38th straight quarter. That's over nine years of uninterrupted rent growth. Leasing velocity accelerated and same property year-over-year cash in line increased. It was also a very clean quarter. The only item of note was a non-core land sale in Atlanta for $4.3 million that generated a gain of approximately $0.5 million. Before discussing same-property numbers, I wanted to take a moment to step back from this quarter's results and look at our performance since the onset of COVID. While FFO has been flat, it was $0.64 per share in the second quarter of 2020, excluding Norfolk Southern fees compared to $0.65 per share this quarter. Quarterly AOI has actually steadily increased over this period of $18 million or 15%. So why is an FFO up as well? The answer is higher interest expense. I'd point this out to highlight the underlying cash flow growth from our properties over the past three years. We've driven cash flow through increased rents and the completion and lease-up of new developments and redevelopments. As Colin pointed out earlier, trophy lifestyle office buildings in the Sun Belt continue to perform well, which is often lost in the negative headlines around the office industry in general. Moving to our same-property performance. Cash NOI increased 4.6% during the third quarter compared to last year. Cash revenues increased 60 basis points, while expenses decreased 6%, driven by lower property taxes. In addition to our recurring appeals of tax assessments, our portfolio also benefited this quarter from the well-publicized tax cuts in Texas that are expected to be approved by voters next month and reflected in 2023 tax bills. The majority of our savings was recognized in Austin, which is largely a triple net market and, therefore, lower property taxes reduced both our revenues and our expenses during the quarter. Turning to our development efforts. The current development pipeline is comprised of a 50% interest in Neuhoff in Nashville and 100% of Domain 9 in Austin. Our share of the remaining development costs is $90 million, $55 million of which will be funded by our Neuhoff construction loan, leaving only $35 million to be funded by our operating cash flow. Before moving to our balance sheet, I wanted to take a moment to point out a change we made to the development pipeline report on page 25 in our earnings supplement. Specifically, we've adjusted the definition of stabilization dates. To reflect the actual estimated stabilization for each development project. Previously, the stabilization dates reflected the earlier of one year after completion or estimated stabilization. This is a GAAP concept that dictates capitalization policy. In practice, it proved to be confusing for many investors since the one-year deadline typically came before actual stabilization. Hopefully, this new disclosure is helpful. To be clear, we've not changed the estimated stabilization dates on our developments in progress. We have simply improved the disclosure around these states. Looking at our balance sheet, net debt to EBITDA is an industry-leading five times. Our liquidity position remains strong with only $144.5 million outstanding on our $1 billion unsecured credit facility. And our debt maturity schedule is well laddered with no remaining maturities in 2023. Looking at 2024 and beyond, our debt maturity schedule has three pieces of debt with extension options. First, we have a $350 million term loan with an initial maturity in August of 2024 that is four to six month extensions. Second, we have a $400 million term loan with an initial maturity at March 25, that has four months extensions as well – four, six-month extensions as well. And third, our Neuhoff construction loan has an initial maturity in September 2025 and has a single one-year extension option. When taking these three extensions into account, our next significant debt maturity is not until July of 2025. Our debt maturity schedule is laid out, including all extension options on Page 28 of our financial segment. I'll close by updating our 23 earnings guidance. We currently anticipate full year 2023 FFO between $2.60 and $2.64 per share with a midpoint of $2.62 per share. This is up from our previous midpoint of $2.61 and represents the third quarter in a row that we've increased the midpoint of our FFO guidance. No property acquisitions, property dispositions or development starts are included in this guidance. The increase is primarily driven by two items. First, as I outlined earlier in the call, we have reduced our property tax assumptions for the year. Second, we've included the gain on land recorded during the third quarter in our annual numbers. Guidance does not include any impact from our four WeWork places. As Richard outlined earlier, we have assumed two leases will be rejected in a potential bankruptcy and two leases will survive. We have letters of credit for the two rejected leases that cover all balance sheet exposure and lost revenue for the remainder of the year. As with any potential bankruptcy, things are fluid and they can change quickly. If our assumptions concerning WeWork materially change, we will provide a timely update. Guidance also does not include any payment of our unsecured claim in the SVB bankruptcy case, which we currently estimate to be approximately $10 million. The exact amount and timing of recovery gets this claim is not yet known, but unsecured SVB bonds are currently trading between $0.55 and $0.60 on the dollar. So we do anticipate there will eventually be significant value in this claim. Bottom line, our third quarter results were solid. Our strong leverage and liquidity position remains intact, and we are raising FFO guidance. With that, let me turn the call back over to the operator for your questions.
Q - Blaine Heck: Great. Thanks. Good morning. Richard, your detail on each of the markets is very helpful. But I guess just taking a step back, can you talk a little bit more generally about which markets in your portfolio you'd say are showing kind of the most ability from an occupancy and rent standpoint and which might be weaker or weakening and maybe some of the reasons for the relative strength or weakness?
Richard Hickson: Sure. Yes. Good morning. So I think my answer is very similar to what we talked about last quarter. I think all of our markets have some positive dynamics in play, but there are competing dynamics as well with rising interest rates and then people returning to work. so a lot of undercurrents. But I continue to point out that Atlanta has been very healthy and strong for us for all of 2023. We executed a lot of leasing volume for its size in Tampa and continue to feel like Tampa is displaying as much as any market the bifurcation between quality and kind of everything else. So the flight's quality dynamic there is very much in play. But I'd say, the same thing for Phoenix as well. We've had really encouraging tour activity there and conversion to leasing activity. So have positive things to say about every market. Austin, obviously, we've called out in the past and continue to flag the fact that there are supply challenges. And our volume has not been as strong there this year. But at the same time, we don't have a lot of vacancy available to lease. We're in a very good position with a lot of stability. So we can weather the kind of cyclical dynamics there very well.
Blaine Heck: Great. That's really helpful. And then, Colin, I understand there are very few transactions to point to in the investment sales market. But can you talk about how your internal return hurdles on new investments have changed with the increase in capital cost and whether or not there are any interesting opportunities that might be emerging on the acquisition side of things?
Colin Connolly: Well, I would definitely say our return expectations have gone up. I think it's still too early to precisely define our specific kind of cap rate or unlevered IRR, because the market continues to be so fluid. And I think until there's some stability putting aside the actual nominal kind of interest rate until there's some stability in terms of the direction of rates, I think that will continue to be fluid. But we are starting to see an uptick in opportunities that we are tracking. I think in many cases, it's still a bit early to insert ourselves in those opportunities because there are I'd say capital structure dynamics that are still playing out between, in many cases, owner and lenders or mes lenders, But we are tracking a number of situations that are going to require outside capital. And I think it could be interesting opportunities, but we need to be patient and wait for the right time.
Blaine Heck: Great. That's helpful. Thanks, guys.
Colin Connolly: Thanks, Blaine.
Operator: Our next question will come from Jay Poskitt with Evercore ISI. Please go ahead.
Jay Poskitt: Hi. Good morning. Thanks for taking my question. I was wondering if you could break down the leasing pipeline just between new and renewals and kind of how that just breakdown has changed over the past couple of quarters?
Gregg Adzema: Sure, well, this quarter we executed 35% of our activity was new and expansion. If you look to the late stage leasing pipeline, that's new and expansion will kind of pop up back to the levels we've seen prior to this quarter, so kind of a little over 50%.
Colin Connolly: And Jay, it's Colin. Those numbers will fluctuate quarter-to-quarter. And really what drives that is going to be kind of the expiration schedule. And based on that expiration schedule, that's really going to drive what our renewal activity looks like. And so, it will fluctuate quarter-to-quarter.
Jay Poskitt: Great. Thank you. And then, I know that the -- sorry, your expirations in 2024 are relatively muted, But do you have any large known move outs as we look ahead to next year?
Colin Connolly: Yeah. Next year we have a low percentage of expirations and we also have very few large expirations. And so looking forward to next year, we really just have one customer within the portfolio that's over 100,000 square feet, and that would be accruent at Domain 4. We talked about that in past quarters. Our expectation there is that they're likely to significantly downsize or leave, and again, it's a little over 100,000 square feet in August of 24. But just to point out, and I think many of you all have toured Domain 4, that's one of the original vintage single-story buildings in the domain that sits directly on Rock Rose, the main retail and entertainment avenue within the domain and it's arguably the best land site that we have in the domain. And so it ultimately might be more valuable to us as land than trying to aggressively renew that space, at least for the long term. Perhaps a short-term lease would be in the cards, but it's a terrific land site for us. Outside of that, the only other significant expiration that we have next year is NASCAR media, which is about 77,000 square feet that expires in the end of February next year. Again, we've talked about this many times in past quarters. NASCAR did a long-term renewal for some space at our 550 South project. This 77,000 is going to be relocated into a new facility that they're building at the racetrack. And so this was originally scheduled to expire this year. They extended it into next year to line that up with the delivery of their new media center. And so those are really it for next year.
Jay Poskitt: Great. Thanks. That’s all for me.
Colin Connolly: Yes.
Operator: Our next question will come from Upal Rana with KeyBanc. Please go ahead.
Upal Rana: Hi. Thank you for taking the question. So, you highlighted the realty tax savings in your prepared remarks. Can you maybe break that down by maybe markets where you're seeing that? And maybe any potential other cost reduction plans that you're working on that can help support cash flow either this year and next year?
Gregg Adzema: Sure. Upal, it's Greg. The vast majority of our property tax savings this quarter were in Texas and the vast majority of what we own in Texas is in Austin. So, the savings were primarily in Austin. It hasn't been approved, but it will be overwhelmingly approved by voters here in a couple of weeks. Once that happens, it kind of resets the bar. And so as we do with any accrual we caught up three quarters to the first nine months of the year, this quarter. So, you saw kind of nine months of an accrual adjustment pushed into three-month reporting period. In the fourth quarter, it will just be a one-month reporting period. So, we'll still enjoy some savings, but it won't be quite as large as it was this quarter. And then we reset the bar in Texas going forward. So, it's a favorable kind of outcome that has legs moving forward for us. We haven't seen anything large like that in any of our other markets, statewide or market-wide adjustment to kind of the property millage rate or property tax policy in general. But you take a step back and we all realize what's happening to office values here. So, we should be successful just in general, on appeals of property tax assessments going forward. So, there are certainly some headwinds on the expense side for office owners, just general inflation as well as people returning to the office. But on the property tax side, I don't think we're going to have those same headwinds.
Upal Rana: Okay, great. Thank you. So, for my next question, I mean, you kind of highlighted all your strong balance sheet and your strong liquidity. Are you still going to focus on liquidity? Or do you think that maybe you can start putting some of that to work maybe in buybacks or some other places?
Gregg Adzema: Yes, it's Greg again. As Colin talked about just a few minutes ago, we value our liquidity at the moment. We've always maintained liquidity. And these are the periods of the cycle where it has tremendous value. And so we're going to be patient and disciplined before we deploy it. There will be opportunities to deploy it, but we're going to be very thoughtful and treat it as a competitive advantage because it is one. And so we'll look at each opportunity as they arrive. Things are starting to kind of come over the threshold. The pace is increasing slightly, and we're optimistic going forward that we'll have a chance to do something with that liquidity.
Upal Rana: Great. Thank you. That was helpful.
Operator: Our next question will come from Camille Bonnel with Bank of America. Please go ahead.
Camille Bonnel: So, a few follow-up questions on the balance sheet. First, more generally in today's market, where do you see the most attractive places to raise capital?
Gregg Adzema: Camille, it depends on what type of capital we're talking about. But at the moment, equity capital is obviously priced at levels that us and other office streets would find not useful. So, I don't think you're talking about raising equity at the moment. On the debt side, what has emerged is, if you have the right assets, you can obtain mortgages on those assets. The LTVs are lower. The spreads are higher than they have historically been. But there's debt available for the right office buildings. And that's probably the most cost-effective debt available at the moment. Unsecured debt, whether it's a product placement execution or an investment-grade bond execution would typically be more expensive. And you've seen -- there hasn't been much liquidity, but you've seen some liquidity on both of those fronts. So you can generally kind of see the pricing on that. In terms of kind of alternate sources of liquidity might be a joint venture or something like that, I think that also has become more difficult than it has been historically, and there's limited liquidity out there. The typical joint venture partners are -- I think, have taken a step back from the office market at the moment and they're trying to figure out where pricing will actually occur and when liquidity returns. I don't think they're going to be at the forefront of it. I think they're going to be watching what happens.
Camille Bonnel: That's helpful. And can you put some numbers around where you think spreads are today, if you try to raise secured or unsecured debt?
Gregg Adzema: Yes. I mean, it changes. It's fluid. But I would say that -- and you can see the REIT office, REIT unsecured bonds trade, they trade every day. Not a lot of them, but they do trade. So you can see the spreads out there. And I think that the higher investment-grade office unsecured bonds are trading in the kind of the high 200s to low 300s over the 10-year spread. And then in terms of secured debt, I think you're probably 50 to 75 basis points tighter than that.
Camille Bonnel: I appreciate the color. And finally, what gives you comfort to underwrite redevelopment projects like Hayden Ferry or potentially Domain 4, when there is such high cost barriers and unknowns around where rents will ultimately pencil out that?
Colin Connolly: Camille, it's Colin. I think we've got a lot of confidence in Hayden Ferry and a lot of history in Hayden Ferry. And we've also seen some very recent successes with our redevelopment projects, certainly here in Atlanta to Promenades executed similar redevelopments and solid demand and the rate that customers were willing to pay for a premier lifestyle type office properties. And then looking out specifically to Tempe, we just executed a repositioning of our Tempe Gateway project, which is effectively across the street from Hayden Ferry. And again, we're able to see the types of rents that we were able to achieve and are achieving a Tempe Gateway, and that gives us direct visibility into how we're underwriting the repositioning of Hayden Ferry.
Camille Bonnel: Thank you for taking my questions.
Colin Connolly: Thanks, Camille.
Operator: Our next question will come from Vikram Malhotra with Mizuho. Please go ahead.
Unidentified Analyst: Hi. This is George on for Vikram. What are you seeing on the sublease space? And can you comment on any recent impact from work from home dynamics? And how this has changed over the last six months?
Colin Connolly: Sure. I'd say the sublease activity across our markets in the Sun Belt, I'd say third quarter relative to the second quarter have largely been flat. We have not seen an increase in sublease availability. I'd say in certain markets, we've actually seen it come down. And that's been a combination of some of that sublease space actually being leased. And in some instances, customers taking that space off the market, as they rethink their plans. I -- as we look at the work from home trends that you mentioned, certainly, a year ago, that was a major secular risk that we were focused on here at Cousins along with the cyclical risks in the economy. I would tell you, as we sit here today, we are far less concerned about the secular risks of work from home and its impacts on trophy lifestyle office in the Sun Belt. And that's -- we're certainly seeing that in the headlines. And as I mentioned, the announcements that are accelerating in many of those are -- we had a Fortune 500 company in Atlanta just this week that had not been back to work and just announced three days a week. We've had a Fortune 500 company here in Atlanta that was three days that just announced they were moving to four days. And I think the consensus among many CEOs for, again, the best -- their employees and their professional employees in the highest-quality buildings, it's going to trend probably four days a week. And I hear that often. And so we're -- I'd say, far less concerned about that today.
Unidentified Analyst: Thanks. And just a last quick one for me. Can you talk about assets that you would like to sell? And where do you see corporates today and I guess, over the next six to 12 months?
Colin Connolly: Again, there's really not a lot of data points on where cap rates are today. I think we're still in that process, again, of the market is moving and it's still fluid. Investors are looking for direction and where interest rates are going before they are probably more willing to place bets. And I think when that stability arrives, you will see investors begin to make bets. And again, I just kind of pivot back for a moment and kind of why do we think investors are going to have confidence to invest in trophy lifestyle office in the Sun Belt. And I think many of those investors are going to look at the experience of Cousins Properties over the course of this pandemic. And if you -- Greg highlighted just a few minutes ago that from the start of the pandemic to now, we've actually grown our net operating income by 15% and been able to do that while maintaining a fortress balance sheet. And so it is showing the durability and the stability and the future growth in lifestyle office in the Sun Belt. And so that investor capital will come back. We think it will be firmly focused in the best assets in the best markets. And I think until that time comes, we're not in a huge hurry at Cousins to pursue dispositions. We've got a great balance sheet, no need for near-term liquidity. And so while we're patient on the acquisitions at the moment, we're also patient on the dispositions.
Unidentified Analyst: All right. Thank you so much for taking my questions.
Operator: Our next question will come from Anthony Powell with Barclays. Please go ahead.
Anthony Powell: Hi, good morning. A question on tenant improvements. We always hear stories about TI growing in a lot of coastal markets and this cost of leasing space increasing. It doesn't seem to be a case in your market. So maybe you can talk about TI requirements in your markets and how those evolved in the past few quarters.
Richard Hickson: Sure. This is Richard. I mean we do continue to see some amount of pressure and inflation in construction costs. But certainly, when we're looking at tenant improvements and how they flow through to our results, those are allowances that we're giving. They aren't necessarily indicative of the total project cost. So it is truly a concession and a negotiation in any given deal. And we felt like -- and you can see in our results that we've been able to manage that and you just look at our net effective rents over time where we've had more exposure to the increasing TIs to get leases signed, we've been able to actually seek out higher rate to offset that successfully.
Anthony Powell: Got it. Thanks. So maybe on the WeWork, have you entered talks with them about maybe restructuring some of these leases and maybe the exiting earlier so to work on releasing the space? Or is this -- or as in related to that to start?
Colin Connolly: Could you repeat the question, Anthony?
Anthony Powell: Yes, WeWork. Have you started to have discussions with them about potentially reworking the leases? Or is it too early for that process to start?
Richard Hickson: This is Richard again. We are under a nondisclosure agreement about the proceedings and what's going on with WeWork. But -- but higher level, yes, we are in dialogue there, an important partner of ours, have been for many years. And as we mentioned earlier, it's a very fluid situation. It is potentially a bankruptcy situation and a lot can happen. But we are speaking and exploring a lot of different alternatives. .
Anthony Powell: Okay. Thank you.
Operator: And our next question will come from Peter Abramowitz with Jefferies. Please go ahead. 
Peter Abramowitz: Thank you. I appreciate the comments and the color on 3350. Just wondering if you could talk about two of the other buildings in your portfolio with significant vacancies. Could you talk about activity at North Park as well as 111 Congress. You have some large vacancies there? Just how is the interest in those spaces and any potential contribution for 2024?
Colin Connolly: Yes. Good morning. It's Colin. I would say, looking at those two properties, North Park has been a bit more of a challenge for us. It is a more suburban property in the central perimeter here in Atlanta. And that market has been slower to recover its leasing velocity than some of more urban markets. North Park over the long term has some great thing going for it. Its sits right on [Technical Difficulty]
Operator: Pardon me, speakers, your line is open. Gentlemen, excuse me, we lost connection.
Colin Connolly: We can hear the operator.
Operator: Speakers are reconnected. Please continue.
Colin Connolly: You missed the punched line. Sorry, for the technical difficulty there. I was just mentioning that North Park has been a bit more challenging, the central perimeter has been a little bit slower to recover in its leasing activity, but North Park does have some positives with MARTA stop directly on campus. 111 Congress in Austin, again, our urban markets have seen more activity. 111 is a great property with many guest, four or five years ago, a significant redevelopment was done with a major food hall on campus, and that's a property that we believe when we find the right customer, we'll hopefully be able to drive some occupancy there sooner than later. And I think likely ahead of North Park.
Peter Abramowitz: Got it. That's helpful. And then just a higher level question. A lot of your peers this quarter have talked about just slower decision making from tenants and generally longer deal cycles. Just wanted to see if you had any color on whether you had similar experience if you're seeing that in the portfolio, or if that hasn't really been the case for you?
Colin Connolly: So we've got some competing forces at play. And I think higher interest rates are at the center of all of those competing forces. And I'd say, I'd characterize this on the negative that in some instances, higher interest rates are forcing companies to become more efficient. And, therefore, they are scrutinizing headcount, G&A and real estate spend very, very carefully. At the same time, we always say here at Cousins as the Fed raises interest rates, they're also driving employees back to work. And I think we're seeing some instances and there's some active deals that Richard has alluded to, that are directly tied to as companies focus on the bottom line and profits, they want their people back in greater force and in some instances, are realizing they don't have enough space. And so we are seeing a push and a pull there. And our belief is regardless that with the quality of our portfolio and our ability to fund leasing costs that we're going to work really hard to gain as much of that market share as we can.
Peter Abramowitz: Got it. That's all for me. Thank you.
Colin Connolly: Thank you.
Operator: And our next question will come from Dylan Burzinski with Green Street. Please go ahead.
Dylan Burzinski: Good morning guys, and thanks for taking the question. Apologies if I missed it as I joined late, but just curious, given the strong leasing activity year-to-date and minimal lease expirations next year, would you guys say it's fair to say that occupancy at the portfolio level has maybe bottomed here?
Colin Connolly: We hope so. And again, as you mentioned, we have modest expirations next year, no significant other than accruent large known move-outs. So again, we'll have to monitor the evolving situation with WeWork. But WeWork aside, our hope is certainly, I'd say our goal as a company is certainly to end 2024 occupancy higher than it is at the end of 2023. And there could be some modest fluctuations positive and negative quarter-to-quarter. But that certainly is a goal.
Dylan Burzinski: And then I guess just one on inbound activity from out-of-market tenants. Have you guys seen that slowdown here more recently relative to the level that we saw coming into the pandemic?
Colin Connolly: Well, I would say it's reverting back to where it was prior to the pandemic. And again, this has been a trend that's been underway for 10 to 20 years. And it's been up into the right. I think for all the obvious reasons that we know, it was certainly supercharged during the pandemic, and I think we'll see that likely to revert back to the mean. I think in the immediate near-term, I'd say the biggest challenge to some of the relocations is just the higher cost of residential mortgages. And so I think kind of the full-scale relocations of the company might slow until that normalizes. But what we are seeing a lot of companies do is rather than relocate employees, they are moving or shifting their growth to the Sun Belt and hiring within markets, which mitigates that. So I'd say I think you're likely to see continued activity on expanding hubs and perhaps more kind of near term, a more near-term slowdown in full-scale relocations.
Dylan Burzinski: Great. Thanks, guys.
Colin Connolly: Thanks, Dylan.
Operator: And our next question will come from John Kim with BMO. Please go ahead.
John Kim: Thank you. On WeWork, is there anything you could share on the characteristics, whether it's occupancy or profitability between the two locations that they remain current on rent versus noncurrent?
Richard Hickson: Yes. Unfortunately, we are under an NDA, so we can't share specifics about the performance of each location at this time.
John Kim: Okay. And I'm just wondering like what gives you confidence that the two remaining current leases will still continue to pay rent on that?
Colin Connolly: Again, I think that will be fluid. But I think, look, looking to what WeWork is doing is certainly kind of our guide at the moment. And we're able to -- we own the properties we see who's kind of coming and going and we see a lot of -- if we see activity, physical activity in spaces. But again, our current guide is based on they've made a decision to pay rent on two and made a decision to not pay rent on the other two.
John Kim: Got it. Okay. On NCR, I know last quarter, you provided an update on the lease and the company subleasing some of that space. I was wondering if you could provide a further update to that? And if there's any chance to give that some of that space back to you?
Colin Connolly: So the NCR did complete their corporate spin-off. So today, it is to there are two separately traded public companies. Our lease, our master lease is still with kind of our original lessor one of those two public companies. And as you mentioned, they have put some of the space on the sublease market as they've split into two companies and are attempting to become more efficient. But there is no ultimate change in our lease, and they have no rights to give any space back. They certainly have the right to sublease space. And I think it's a potential that we'll engage with them in some of those conversations, if an interesting opportunity comes along for our shareholders to go direct with a new long-term tenant customer in some of that space. And I think they already have some -- actually some meaningful prospects for that space. And so we'll continue to stay in touch with them. And if there's a win-win solution for them and our shareholders, we'll certainly engage.
John Kim : Final question for Greg. On the improved disclosure on the stabilization periods on developments, can you just remind us on your capitalized interest policy, if you're required to expense the interest one-year after completion? Or are there some ways that you could extend that capitalized interest period?
Gregg Adzema : No, it's a drop that we did -- that we typically capitalize interest on unoccupied space and no greater than one-year after completion.
John Kim : Got it. Okay. Thank you.
Gregg Adzema : Thank you, John.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Colin Connolly for any closing remarks.
Colin Connolly : Thank you for your time this morning, and your interest in Cousins Properties. We will look forward to hopefully seeing many of you out in NAREIT in a few weeks. Have a great weekend.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.